Operator: Good morning, good afternoon, and thank you for waiting. We would like to welcome everyone to Ambev's 2024 Second Quarter Results Conference Call. Today, with us we have Mr. Jean Jereissati, Ambev's CEO; and Mr. Lucas Lira, CFO and Investor Relations Officer. As a reminder, a slide presentation is available for downloading on our website ir.ambev.com.br as well as through the webcast link of this call. We would like to inform you that this event is being recorded. And all participants will be in a listen-only mode during the company's presentation. After Ambev's remarks are completed, there will be a Q&A session. [Operator Instructions] Before proceeding, let me mention that forward-looking statements are being made under the safe harbor of the Securities Litigation Reform Act of 1996. Forward-looking statements are based on the beliefs and assumptions of Ambev's management and on information currently available to the company. They involve risks, uncertainties and assumptions because they relate to future events and therefore depend on circumstances that may or may not occur in the future. Investors should understand that general economic conditions, industry conditions and other operating factors could also affect the future results of Ambev and could cause results to differ materially from those expressed in such forward-looking statements. I would also like to remind everyone that, as usual the percentage changes that will be discussed during today's call are both organic and normalized in nature. And unless otherwise stated, percentage changes refers to comparisons with 2023 second quarter results. Normalized figures refer to performance measures before exceptional items, which are either income or expenses that do not occur regularly as part of Ambev's normal activities. As normalized figures are non-GAAP measures, the company discloses the consolidated profit EPS operating profit and EBITDA on a fully reported basis in the earnings release. Now, I'll turn the conference over to Mr. Jean Jereissati. Mr. Jereissati, you may begin your conference.
Jean Jereissati : Hello everyone. Thank you for joining our Q2 earnings call. In our last call, I mentioned several initiatives regarding the heavy rains that impacted many cities in Rio Grande do Sul. I also mentioned that we wouldn't stop until our ecosystem was back on its feet. During this quarter we continued with several initiatives in the region focusing on helping to rebuild the local communities. For instance, we donated more than five million liters of water to people and hospitals. We also contributed over BRL 16 million to support the local customers helping with structure and commercial initiatives. For our people we have supported them to rebuild their homes. It's part of our role as a leading Brazilian company to support our ecosystem so we can grow together. Now shifting gears to our business. This quarter's performance was very consistent when compared to Q1. Volumes grew led by Brazil and CAC more than offsetting softer industries in Argentina and Canada. EBITDA grew double-digits with margin expansion, free cash flow performance improved versus last year and normalized profit was impacted by higher income taxes. Let me now go a little bit more in details starting from CAC and Canada. Similar to last quarter, CAC had another good quarter led by the Dominican Republic with Corona and Presidente families of brands. Volumes increased by 3.4% and EBITDA by 18% with 330 bps of margin expansion. While Canada continued to experience a tough industry, we continued working to offset top line performance with disciplined cost management delivering a 2% EBITDA decline while cash flow increased. In Argentina, despite some improvement in terms of monthly inflation readings, beverage industry continued to suffer in the short term. Our volumes declined by over 21%, as consumption environment remained challenging. In nominal terms EBITDA reduced significantly because of the currency devaluation that took place in December last year. In Brazil NABs, we had another great quarterly performance. Volumes grew almost 8% with our non-sugar portfolio continuing to outperform growing 15% with a highlight to Corona Cero that grew over 40%. Also, earlier this year, we were awarded the best Pepsi bottler in the world for the first time. This marks how our consumer-centric approach has improved not only our business but our partners. Net revenue per hectoliter grew 6.8% on the back of revenue management initiatives and a positive brand mix. Cash COGS per hectoliter decelerated to an increase of 1.2%, while lower spending in marketing activities from a heavier Q1 due to Carnival contributed to EBITDA growth of 40% and margin expansion of 500 basis points. In Brazil Beer, volumes grew 2.9% with our premium and super premium brands up in the low teens led by Corona, Spaten and Original; core plus brands growing in the high teens led by Budweiser and core brands up low single-digit. Net revenue per hectoliter grew 3.9%. Fresh retailers grew nearly 6% ahead of general consumer inflation once again, which was partially offset mainly by the carryover impact from VAT taxable base that we explained last quarter. In addition to a healthy and consistent beer performance marketplace grew GMV sequentially, and 32% versus last year and represents close to 10% of our net revenue growth year-to-date. And EBITDA grew to 81% also supported by a decrease in cash COGS per hectoliter with margin expanding 350 bps to 30. I'm very satisfied with our performance in Brazil. For a while we have been delivering a solid operational performance reaching in Q2 2024 all-time high record volumes for a second quarter and a significant EBITDA growth. Last quarter I spoke about our commercial momentum in Brazil beer and how that's tied to brands innovation BEES and Ze Delivery. Today, I would like to talk more deeply about brands. We decided to allocate our resources prioritizing four brands that we call focus brands. They received additional investments be it in media, experiential, trade or sales. Each of these focused brands has clear reasons to believe on why it can win. Corona in the super premium is the brand with the highest brand health to market share ratio in the market. And it relates to values like balance, enjoying life, traveling and unwinding. On top of that it has a distinctive packaging, a liquid that is made with 100% natural ingredients and is more refreshing. Spaten in premium is one of the highest growing brands of the market. And it has very clear beer credentials, which positions it as a beer authority in Brazil. It has been selected as Brazil's best pure malt beer by a group of beer specialists in a survey from O Estado de Sao Paulo newspaper. Budweiser is the most aspirational core plus brand in the market. Through its global events like the World Cup and international music festivals such as Lollapalooza and Tomorrowland it is seen as an iconic and youth brands. On top of that in both blinded and branded liquid tests, Budweiser's scores as the highest beer of the market. In Brahma in core is the biggest brand of the market. And it connects to Brazilian culture like no water being part of peoples' lives for generations through soccer, Sertanejo, Carnival and San Juan. It has the biggest brand health and salience of the market. And its unique functional attributes Brahmosidade Cremosidade solidifies it as the number one high-quality brand in core. The good news is strategy is working. Our focus brands are at all-time high levels of brand health and volumes. In terms of year-to-date volumes focus brands grew over 10% combined representing over 120% of company's growth. Excluding the value segment which is our largest detractor, other brands are virtually flat this year. And Brazil became one of the largest markets for Corona and for Spaten. Brand building is a journey and we need to be consistent throughout, but the results are very encouraging. Now to close I have been conveying three messages since the start of the year. First, we are confident about volume growth, especially, in Brazil. Second, our main challenge in the year is taxes in Brazil. And third, despite the headwinds in taxes, we don't expect cash flow to be impacted materially. And we continue working to deliver solid free cash flow generation. We will continue acting on what we can control. And in the short-term, we will focus on keeping our business momentum and protecting cash flow generation. Thank you very much. Now let me hand over to Lucas.
Lucas Lira: Thanks, Jean and hello, everyone. If I were to summarize our financial performance in Q2, I would highlight three things: more growth than in Q1, more profitability than in Q1 and consistent cash flow generation despite the Brazil taxes and Argentina headwinds. Let's go through the numbers. EBITDA grew nearly 16%, almost 18% ex-Argentina. Gross margins expanded 200 basis points organically, 240 basis points ex-Argentina. EBITDA margin expanded 300 basis points organically, 330 basis points ex-Argentina and although normalized profit declined around 8% cash flow from operating activities decreased by nearly 2% totaling about BRL 3.4 billion. Jean already covered the operational performance so let me break down our beyond EBITDA performance. Net finance results improved approximately BRL 450 million compared to last year. The main drivers of such improvement were consistent with Q1 namely; first, lower losses on derivative instruments given lower carry costs to implement our hedging strategy for FX in Brazil. Second, lower fair value adjustments of payables pursuant to IFRS-13 and CPC-46. And third, our hedging decisions and lower USD exposure in Argentina albeit to a lesser extent than in Q1 which by the way should also be the case for H2. In addition, the devaluation of the Brazilian real in the quarter had a positive impact of over BRL 130 million given cash balances in US dollars. Turning to income taxes. As anticipated the tax headwinds in Brazil impacted our performance in the quarter. And we didn't have the positive one-off from Q1. Our income tax expense totaled almost BRL 1 billion in Q2 which was equivalent to an effective tax rate of nearly 29%. There were three main drivers here. First, higher EBIT which grew from roughly BRL 2.4 billion to over BRL 3.4 billion. Second, less deductibility related to state VAT government grants and IOC as was already the case in Q1 and which should also impact H2. And third, given the roughly 10% depreciation of the Brazilian real during the quarter a non-cash effect due to higher withholding tax provision related to Labatt undistributed profits as per IAS-12 requirements. By the way, speaking of taxes, let me share a quick update in terms of litigation and the tax reform on consumption. In terms of litigation, since our last call, we obtained favorable administrative court decisions totaling about BRL 2.6 billion as per Note-25 to our financial statements and one partially unfavorable decision regarding IOC deductibility, which we will appeal at the judicial level once we are notified of the decision. And as for the tax reform on consumption in Brazil, in mid-July, the draft legislation was voted in the House of Representatives. And the debate now moves to the Senate, which should vote on the matter before year-end. We will keep everyone posted. Now over to cash flow, cash flow from operating activities totaled almost BRL 3.4 billion, just BRL 60 million below Q2 2023, with higher EBITDA and lower net finance costs, offset primarily by working capital in Brazil and Argentina as well as cash taxes in Brazil. Cash flow used in investing activities totaled approximately negative BRL 1 billion with year-over-year performance mostly impacted by lower CapEx. And finally, cash flow from financing activities was in line with Q2 2023 at about negative BRL 1.7 billion with approximately BRL 300 million in share repurchases in connection with our share-based compensation plan. All in all, our cash balances at the end of the quarter increased ahead of last year, so we finished H1 on solid footing cash flow wise, while the bulk of our cash generation historically takes place in H2, particularly Q4. Before wrapping up, a quick update in terms of sustainability. As part of our ongoing efforts in partnership with our ecosystem to reduce Scope 3 carbon emissions, we've identified that more than 75% of our main suppliers in Brazil, which together represent over 30% of Scope 3 emissions already operate with some level of electricity from renewable sources. We've also mapped with such suppliers a potential reduction of more than 100,000 tonnes of CO2, representing a reduction of approximately 4% of our Scope 3 emissions in Brazil going forward. We still have a long way to go towards our 2040 net zero ambition, but we believe we're on the right track and for more details on our sustainability strategy and results, please check out our annual and sustainability report, which can be found on our Investor Relations website. With that, let me hand it back to the operator for Q&A.
Operator: We will now begin the Q&A session. [Operator Instructions] Our first question comes from Thiago Duarte with BTG. You can open your microphone.
Thiago Duarte: Yes. Thank you. Hello, everybody, Jean and Lucas, everybody with the team. Yeah. I have a question and a follow-up, if I may. The question is regarding pricing in Brazil beer, right? So based on the presentation that you just shared with us my understanding is that most, if not all of the pass-through, pricing pass-through accounted for the increase in ICMS in beer was already done, right? So just -- so understanding, if that's really the case, would be nice? And then, if you could comment on whatever you can and what you can share with regards to the pricing season that usually takes place for you guys between the third and the fourth quarter. What we should expect in terms of that if we should continue to think of inflation as the baseline for pricing or whether you guys would be willing to guide us to a different direction? That would be the first question. And the follow-up is actually based on the part of the presentation that Jean did. With regards to brand health which I think was very interesting. So just if you could Jean clarify a little bit. How you're measuring that? What kind of information you're gathering to measure that. And when you talk about all-time high brand health whether you are looking at those four focus brands and whether you're talking about the entire portfolio. That would be interesting to understand as well. Thank you.
Jean Jereissati: Thank you, Duarte. Thank you for the question. Q2, Brazil beer net revenue per hectoliter versus last year was 3.1% ex-marketplace, right? And it was mainly driven by revenue management initiatives with the price to consumer and price to retailers ahead of inflation. But still net revenue per hectoliter a little bit below. We didn't took prices in Q2. We took prices in the end of Q1. And moving forward, we will remain nimble in our pricing strategy, focusing really on the sustainable balance between volume and net revenue per hectoliter growth. With medium to long-term pricing strategy unchanged prioritizing price increase in line with inflation and favorable brand back and channel mix, okay? So that's what I can mention. I would add to that. So we don't talk exactly about the pricing moving forward. But in the end, strategy is unchanged. What I can say is that, we are very happy with the momentum that we have in Brazil. So Q1 was good, Q2 was better and we started July well, okay? So that's what I would mention. And when we go for brand health, the KPIs that we measure they are true. We measured how meaningful our brands are to the consumers, how differentiated our brands are and how remembered our brands are. And then we combined these three metrics in one that kind of picture, the power of our brands. My presentation, I was particularly talking about the focus brands growth.
Thiago Duarte: That’s clear. Thank you.
Operator: Next question from Isabella Simonato with Bank of America. You can open your microphone.
Isabella Simonato: Thank you. Hi Jean and Lucas. Hi everyone. So I have two questions. First of all it's about here in Brazil and especially the mainstream segment which I think we saw different performances right between you and peers and different impact right from more aggressive competitive environment in some of the segments, right? And it's interesting that in the release you mentioned that, Brahma and Antarctica were supporters, right of the mainstream category, especially Antarctica which if I'm not wrong, you guys have not been highlighting that right as a key driver of growth in a while. So I wanted to understand a little bit more the dynamics on mainstream. And especially if you could touch base on Brahma and Antarctica and how you're looking you talked a lot about Brahma already. But I mean, how you're looking at those three brands I think will be interesting to understand the dynamics. And my second question is to Lucas more regarding capital allocation, right? We're looking at CapEx down year-over-year. I'm not sure if that will continue to be the pace for the remainder of 2024. But as you guys pointed out right free cash flow has been strong despite the higher taxes. So I was wondering, if you could elaborate a little bit more how you're thinking about further capital allocation. Thank you.
Jean Jereissati: So thank you very much for the question, Isabella. Okay. Core, let's talk about the core brands. Core grew low single-digits this quarter. And it's a good performance in our view. Long-term-wise mainstream in line with total industry is really what we pursue. And it looks like we had a good performance. Inside this basket, Brahma is doing very well. So yes we prioritized Brahma, as a focused brand is the national brand Brazilian is doing very well. And then Antarctica is what we call supporting brand, overall. And its family is doing very well with Antarctica regional in the premium and Antarctica in the core; both are doing very well too. So when we combine all these things Brahma, Antarctica [indiscernible] that is in the negative territory. Still we see mainstream going up low single-digits, okay? Lucas?
Lucas Lira: Yes. Hello, Isabella, thank you for the question. Isabella, with respect to CapEx I think it's good to put the first half's performance and also kind of 2024 a bit into perspective. If you go back to the pandemic, we didn't refrain from investing during the pandemic. We made a decision perhaps to counter-cyclically continue to invest behind our supply footprint as we had an innovation pipeline coming through. And we needed to have more capacity, more spread out for the broader portfolio across the country. And we also decided to kind of go big behind B2B and B2C, which required also some tech investments. And so if you look at between 2020 and 2023 or 2022 better said, we went through this higher CapEx investment cycle. And since 2023 I think we've started to go through a lower investment cycle as we start to kind of reap the benefits of the investments that we made in the prior investment cycle. So I think 2024, what you're seeing is a continuation of this kind of trend kind of consistent with what we saw in 2023, so far lower than last year. And I think for the full year I think it makes sense to think about all in all a lower CapEx investment. And when you double-click within the CapEx kind of the different CapEx line items, the bulk of it continues to go to capacity, investments to have again more of our portfolio the broader SKU assortment present closer to consumption also cost projects with obviously attractive ROIs. And then the third big destination is really around returnable packaging and tech investments, which were bigger in the previous investment cycle is now kind of – is at a lower level. So lower CapEx so far. I think for the year lower CapEx as well. And then connecting that to the second part of your question the capital allocation right mindset has not changed in the company. So we have good visibility around reinvestment for growth organically as I just mentioned, non-organic opportunities, right? We're always in the water, nothing to report for now. And as we've seen historically at the end of the year which is when we have the greatest visibility around residual cash available to be returned to shareholders, the Ambev Board decides how much to return to shareholders. If you look at the last 10 years I believe, we've managed to pay out on average 80% of net income in the form of dividends and IOC. And so at the end of the year, the Board will reconvene. And we'll decide how much to return and in what form that will take, either dividends, either IOC, always looking to maximize IOC, and share buybacks are also a possibility. But again, this is a December conversation with the Ambev Board, right? Keep in mind that the bulk of our cash flow generation comes in H2, particularly in Q4. So we like to take this kind of decision which is more of a structural decision, with kind of full visibility or maximum visibility going into the next year, okay?
Isabella Simonato: That’s very clear. Thank you. And Jean, just a quick follow-up if I understand correctly. Can we think that's call in this environment that you talked about Brahma and Antarctica has been still a volume detractor or not necessarily?
Jean Jereissati: It's called in this quarter was a volume detractor, yes.
Isabella Simonato: Okay. Thank you so much.
Operator: Next question from Carlos Laboy with HSBC. You can open your microphone.
Carlos Laboy: Here we go. Hello, everyone. Lucas, why keep Ambev stock listed? We have you at six times EBITDA. And for perspective, Carlsberg just paid what like 14 times EBITDA for a pretty weak Pepsi bottler 14 times more than double where you are at. Are there any conditions that need to be in place for you need to start deploying some of your BRL 4 billion in cash to retire the float or for ABI to tender for it? I mean either one would be greatly accretive for ABI. Does the Board of Ambev at some point say, hey, if Latin American investors don't see value in our business maybe we shouldn't be listed at all?
Jean Jereissati: Yes. Hi, Laboy. Thanks for the question. With respect to ABI's view, I obviously can't comment right on their behalf for obvious reasons. When you look at it from an Ambev perspective, we've always seen value in having Ambev as a listed entity. Given our right local presence in Brazil, Brazil is our -- has been and right should continue to be our main market. And so we've always seen value in having Ambev as a publicly listed entity in Brazil given the relevance of the business in the country number one. Number two, we've always seen a net positive in terms of talent, attraction and retention, okay? So, one of the advantages over the years that we saw was that by having Ambev as a publicly listed entity with our management compensation model, right, which is designed to align management's interest and rewards to kind of shareholders' interest. We've managed to attract great talent over the years and retained and used our shares to retain talent over the years as well, right? And as we generated value we shared value with kind of the partners of the company over time. So I think these two reasons for being a public company I think they stand they remain. And so that's kind of where we are today. And then in terms of again buying back stock, we just completed the latest share buyback. We opened it a few months ago. We did it with, right, the sole purposes of acquiring stock to be able to deliver to the partners of the company as share-based payments come due in the near future. So, we saw an opportunity to buy back the stock at current prices and we've executed it pretty much 100% already. You can see it in our cash flow statement. And as I mentioned in my response to Isabella's question, the debate around capital allocation will take place towards the end of the year with the Ambev Board and future share buybacks are an alternative that will be considered.
Carlos Laboy: Excellent. Thank you. We’ll keep it to one question as requested.
Jean Jereissati: Thank you, Laboy.
Operator: Next question from Ricardo Alves with Morgan Stanley. You can open your microphone.
Ricardo Alves: Thank you very much everybody. Jean, Lucas thanks for the call. Thanks for the opportunity. Back to unit revenue in Brazil Beer, but maybe if we can focus more on competition, I guess you had been highlighting the share evolution of Brazil Beer in recent releases. I was wondering how you performed versus the industry in terms of share. If it's possible to break that down as much as you can by category or maybe for focusing on selling or sell out that would be helpful, because our understanding at least initially was that some of your peers were more aggressive on pricing. But in the end it actually seems that versus what we saw in the first quarter, second quarter it seems that you gained some ground over your main competitors. So I don't know maybe it's an issue of discount activity more intense in the economic in the value side of the market, or anything that you can share on the competition and discount activity by your peers that would be helpful. Thank you very much.
Jean Jereissati: Okay. Thank you Ricardo for the question. So what we are seeing is that the beer industry continues to demonstrate structural strength in Brazil. I want you to bear in mind that our estimates of the industry and market share is our data is derived from a blend of using formation, sell-out data, industry production, our own volumes in the DTC platforms and channel mix. And then we got to a number that is a number that we like to use internally. And that's why we don't talk that much outside of it because it's our estimates. And we are very excited about our performance based on that we still for the quarter don't have the production data information for us to put everything together. But we are very excited about our performance. Overall, here we are seeing one or we are seeing Petropolis really active in the market. But overall the value segment is under-indexed in our company. So I think this impact more other competitors okay? So overall that's what I can mention about market share. And in the good part, it is that Q2 was -- it showed strength in volumes and while we were really catching up with prices and that's it. The Brazilian market has always been very competitive. But I think there is no surprises in the current environment.
Ricardo Alves: Very helpful. Thank you very much, Jean.
Operator: Next question from Renata Cabral with Citi. You can open your microphone.
Renata Cabral: Hi, everyone. Good morning. Thanks so much for taking my question. It's actually a follow-up regarding the core portfolio and the strategic view of the company. So we are seeing that the premium and the upstream segments are growing more than the core portfolio. And, obviously, they will take a higher share in the company. The importance will grow over time. So my question is regarding the strategic view of Ambev today. So in the last 10 years or five years or the industry is really talking about the premiumization. Do you think that in the short-term can happen that the core portfolio will reward its strength or the company is looking at innovative portfolio like non-alcoholic beer? What is the next theme for the beer industry in Brazil? That's my question. Thanks so much.
Jean Jereissati: Thank you very much for the question, Renata. Let's talk about the core and let's talk about the industry right? So these are I think is the two main points. Industry in Brazil, healthy, looks like structurally better, yes, premiumization trend continued with premium super premium segments really outpacing, very happy with Corona performance. Very excited about the capabilities that we built in the previous two years to get Corona right here, the brand equity what's going on the Olympics right now, that we just had Medina doing that great show in the Olympics and Corona partnering with it. I'm very excited about Spaten, that really it was elected the best pure mouth beer in Brazil by a group of specialists, still doing very well Original doing very well. So yes, above core, we are very excited about our performance. In Core, once -- if I keep this strategy that is if I can keep this execution of core in line with total industry, it means that the core will be always relevant and will be healthy in the same levels that we are today. So, I could deliver that in Q2. I plan to deliver that moving forward. And the core, is still very exciting for many Brazilians. Brazil is a huge country. Brahma is doing very well in many regions in the Northeast in the Midwest. So, doing very well across the board in the growth frontiers, that we have that is North, Northeast and Midwest. And if we can really make this performance in line, with the total industry then that's what we call success. On top of that, Budweiser there is a brand that is in the below the inventory premium in the core plus now. It really grew ahead of the 40s. It was really the brand in the core plus and core segment that grew the most amongst our brands and competitors' brands. So Budweiser showed, very solid performance. And this is the strategy that I mentioned, for a while that really to build something in between core and premium, and tackle this opportunity that we have in many places around the world, that we don't have in Brazil that is really get the core plus right. We tested one thing. Now, we are with Budweiser. And we are happy, with the Budweiser performance. On top of that, we have this innovation strategy. That's part of my long-term strategy for the company. It's the pillar two of our strategy to have 20% of revenues coming from products that did not exist, two years ago. Innovation continues to have a market share that's higher than the overall company's market share. And we are with three avenues of growth, that is really helping the Brazilian industry to continue exciting. So we are going with this avenue of growth of functionality. So, we are really building up the zero alcohol portfolios. First, we have a strong Brahma. We launched Buds, two years ago when we launched it one month ago Corona Cero. So, we are really growing on the 30s in the segment. We have an avenue of growth of low calories gluten free, that we have Michelob and Stella Pure Gold that they are doing very well to in the segment and they are becoming relevant brands. They are very young, but it's part of our innovation strategy. On top of that, we have the beyond-beer strategy that really brings sweet palate. And they have the RTGs that is doing very solid too, okay? So if I could put everything together, is aiming for a core to keep relevant in Brazil, really get it right the straight-up strategy to core plus and to premium. And we have been doing very well in the high-end quarter-after-quarter. And then get innovation right to bring more frequency to the category, to bring more penetration to the category when we take out some of the hurdles for example auto, for example gluten, right so really get this thing right moving forward. And the combination of that is what we have seen our volumes doing very well the industry being connected with the total population with the new generation.
Renata Cabral: That was really helpful Jean. Thank you so much.
Operator: Next question from Robert Ottenstein with Evercore. You can open your microphone.
Robert Ottenstein: Great. Thank you. Let me just first echo Carlos Laboy's comments. The valuation really looks absurd to us and I would think there's opportunity. My question is to get more details on your award as the top Pepsi bottler. Can you talk to us a little bit about what metrics Pepsi uses to make that decision? And what changes you have made to improve your execution for Pepsi? And maybe does that tie into BEES and some of your other IT initiatives? Thank you.
Jean Jereissati: Thank you very much for the question Robert. The first part I agree, okay? The second part, I will talk broadly about our NAB business and we are very excited about our NAB business. First of all, because we feel that the trends are in our favor. So, we over-index in the market share of the non-sugar products. So, we have something around 17%, 18% of market share in the total industry. When we go just for the portfolio without sugar, this goes to 30%. And we are seeing like strength and consumers really switching to non-sugar and in this process my portfolio gets stronger. We are seeing Guarana doing very well overall as a brand helped by the Guarana Zero new launch. We got it right. Three years ago Pepsi Black that is really something that is doing very well in Brazil. And so this combination of a good view on the portfolio of the future and the capabilities that this brought to us for us to really get innovation right. So, the combination of these few things is really doing the performance of the NAB business being very exciting. And then Pepsi, for the first time in 20-something years, elected us last year the best bottler in Latin America and this year the best bottler around the world. I think they do many metrics the upside on distribution. They got it right execution on brands the performance. I think they have a broad analysis on our performance that they don't share that much. But it looks like they are really happy with our performance. It's a long-term partner that we have. And we have many plans together moving forward thinking about how to accelerate Gatorade for example. We still don't have Gatorade Zero and we are just starting. It's a very relevant avenue of growth. We are talking about overall about energy. So, it's a great partner that looks like we are in a great place together with a lot of ambition for the business in Brazil.
Robert Ottenstein: Terrific. Thank you.
Operator: Next question from Leonardo Alencar with XP. You can open your microphone.
Leonardo Alencar: Hi, Jean. Hi, Lucas. First of all thank you for taking my questions and congratulations on the results. I understand that you already mentioned lots of information regarding the pricing strategy, brand strategy and performance in Brazil. Just to get some more details. We had a very favorable weather this year. So this was expected to be positive for beer consumption, but when we look at the industry data that doesn't really correlate. So if you could just comment on that or what could have happened or if this was a brand right not for all players in the market. And one more thing regarding Brazil, we saw a very steep increase in aluminum prices and then prices came down again. But the FX rate is in a very different level right now. So we could expect the COGS to be at a different level of by maybe end of 2024 or even 2025? If it continues at this level of course, do you think that could change the strategy from some peers in the Brazilian market, especially focusing on the economy sector? Or do you think in that environment you managed to have a better strategy? And just a very small comment from you guys. Do you think that we've reached bottom in Argentina? That's it. Thank you.
Jean Jereissati: Okay. Thank you very much, Leonardo. Let me get the first and the third. Lucas, will get the second one, okay? So industry in Brazil looks exciting. We are excited about. Looking at, external factors that goes beyond the category relevance, new generation, innovation thinking about the outside factors. So yes, temperature helps and temperature was something good and important in Q2. Even though we have to look at rainfall too and rainfall, when it rains it counts negatively. And it's rained a little bit more too so there is this combination of these, two information. And on top of that we are seeing like the job market. We are seeing unemployment. We are seeing economic activity playing a healthy role in the industry overall, okay? So that is what I could mention about industry. Talking about Argentina, April and May were the toughest months in Argentina. So I think we, -- as always early to say. But it looks like April and May; they were the bottom of the Argentina performance. June and July, it looks like a reverting trend. And still far from what it has to be, but better than April and May. And the good part it is that, somehow we are excited about the future of Argentina. Brands are doing well. Power of the brands are doing well and looks like if the government really get this thing right we will be very positioned for a strong 2025 year, okay? So that's Argentina.
Lucas Lira: Hi, Leonardo Lucas here. Thanks for the question. In terms of where we are on the cost outlook, given our hedging strategy right pursuant to which we hedge on average 12 months out. What we're seeing today is a headwind in FX and so far as the BRL is concerned and a headwind in aluminum. So as of now it's a net headwind and nowhere kind of close to what we saw a few years back, but a net headwind. But we still have a good amount of hedging to do through the end of the year. So I think it's early to draw any sort of conclusions on what to expect going forward. Let us kind of implement the hedging, implement the hedging through year-end. And we'll come with more visibility once we have it. And in terms of what potential headwinds may mean, in terms of kind of competitive dynamics, the different levels of exposure that each player has and how they protect themselves varies by company. So we will continue to focus on our business. Our commercial strategy continue to execute it, continue to build our portfolio to deliver to customers, to deliver to consumers the best brands experiences that we have. So our focus is going to be on us. And the competition needs to see what they're going to do.
Jean Jereissati : Can I add something on Lucas' answer just because we don't talk that much about it. But in the last three years, we invested BRL 1.5 billion in projects of cost efficiency. And there is a lot of things that are coming and maturing bottle supplier verticalization footprint production capabilities on North Northeast and Midwest. We are going through a massive productivity gain on this view of amount of people per hectoliter produced. Especially during 2024, we aim to increase 6% this number of hectoliter per person total company in terms of production. So there is a lot of things coming on this matter today and moving forward.
Leonardo Alencar: Okay. Thank you for all the details. That was an excellent answer. Thank you.
Operator: Next question from Lucas Ferreira with JPMorgan. You can open your microphone.
Lucas Ferreira : Hi, guys. Thanks for the space to ask a question. My question is if you can slice the good performance of Brazil by channel and then tying with the comments you already made with the competition with prices. I'm just wondering if this is sort of a maybe bigger competition at the bottom of the pyramid is more or so in the cash and carry in the off-premise. And then how was your performance in the on-premise as well? In other words how you see your channel performance? And how has happened; you to deliver the good results in Brazil you delivered this quarter? Thank you.
Jean Jereissati : Okay. Thank you, Lucas. Let me give you some perspective on this question. So one thing that is really calling our attention and then we are working for that. It is that the segment today. We can break in many ways, right the channels, and the segments and everything. But what is growing a lot with us is third part distributors; our distributors that is not direct distribution. So this channel is really something that we are supporting. And because of these where we changed it completely the relationship that we have with customers. So we are okay to get the logistics more and more in a light way, in a way that it calls it less CapEx it's more light. And the wholesalers that are in this strategy the third-party distribution the wholesalers they are very excited. They are performing very well across the board in Brazil. So this is one cut for you to know because this -- even though with that it changes a little bit because impact the net revenue per hectoliter and the distribution cost in a different way. But this is growing and is lighter in terms of CapEx. And it's very well performing this what we will call, okay? So having said that, off-trade overall we are seeing performing a little bit better than on trade this year, nothing that much relevant, but slightly better. And we are seeing in terms of segments right really seeing the core plus really growing picking up as the segment that grew the most for us in the previous quarter, okay? So not sure, if I respond specifically the channel mix. I try to give you a broader perspective on the cuts that we have.
Lucas Ferreira: That’s great. Thank you. Thank you again.
Operator: This concludes the Q&A session. I would like to invite Mr. Jean Jereissati to proceed with his closing remarks. Please go ahead, sir.
Jean Jereissati: So thank you very much. Thank you all who joined the call for your time and attention. We kicked off the year with a very good operational performance. And we maintained it during all the H1 delivering strong results in Q2. We are confident in volume specifically in Brazil and CAC given our commercial momentum despite Argentina and Canada tougher industries. Taxes will continue to impact our net income as you saw in H1. And we will continue to work to deliver consistent and sustainable results really focusing and trying to compensate this on the cash flow generation. So thank you very much. See you in October. Have a great day.
Operator: This does conclude today's presentation. Thank you. And wish you a nice day.